Operator: Good day and thank you for standing by. Welcome to NTIC’s Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. As part of the discussion today, the representatives from NTIC will be making certain forward-looking statements regarding NTIC’s future financial and operating results, as well as their business plans, objectives and expectations. Please be advised that these forward-looking statements are covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and that NTIC desires to avail itself of the protections of the Safe Harbor for the statements. Please also be advised that actual results could differ materially from those stated or implied by the forward-looking statements due to the certain risks and uncertainties, including those described in NTIC’s most recent annual report on Form 10-K, subsequent quarterly reports on Form 10-Q and recent press releases. Please read these reports and other future filings that NTIC will make with the SEC. NTIC disclaims any duty to update or revise its forward-looking statements. I would now like to turn the call over to your first speaker today to Patrick Lynch, NTIC’s CEO. Please go ahead.
Patrick Lynch: Good morning. I am Patrick Lynch, NTIC’s CEO. I am here with Matt Wolsfeld, NTIC’s CFO. Please note that a press release regarding our fiscal 2022 fourth quarter and full year financial results was issued earlier this morning and is available at ntic.com. During today’s call, we will review various key aspects of our fiscal 2022 fourth quarter and full year financial results, provide a brief business update and then conclude with a question-and-answer session. Fiscal 2022 produced record sales for NTIC, thanks to strong demand for our ZERUST industrial products and services in North America, as well as for our Natur-Tec and ZERUST Oil & Gas products, both in the U.S. and abroad. Having said that, it’s also important to acknowledge the benefit NTIC received from buying out our former Indian joint venture partner at the start of fiscal 2022. With this acquisition, we now have to consolidate ZERUST India’s financials into NTIC’s, causing our net sales to show an increase of 31.3% year-over-year. If we had not acquired the other 50% of ZERUST India in September 2021, NTIC’s fiscal 2022 sales would only show an increase of 13.6% year-over-year. In the five-year period since fiscal 2017, NTIC’s annual sales have increased over 87% at a compound annual growth rate of 13.4%. This solid growth record is a direct result of the long-term strategy that we continue to execute on. We remain focused on developing innovative solutions, which in turn, our global distribution network sales to increasingly diverse worldwide markets with exceptional technical service everywhere our customers need it. Our sales growth during fiscal 2022 is especially encouraging when considering the complex business environment we faced during the year. This included supply chain and shipping issues, persistent inflation, significant raw material cost increases, geopolitical conflicts in Europe and the lingering effects of the COVID-19 pandemic in Asia. The prudent adjustments we made to our pricing during the first half of fiscal 2022 benefited North American sales. Nevertheless, supply chain issues and raw material cost increases impacted our overall profitability for the year. In particular, while most world economies have reopened and have somewhat recovered from the pandemic, the Chinese Government still continues to impose harsh COVID-19 lockdowns, which severely impaired the sales efforts and profitability of our NTIC China subsidiary during the third and fourth quarters of fiscal 2022. Sales and profitability were also impacted across many of our European JVs during the fourth quarter as extremely high energy costs and availability problems hindered Europe’s manufacturing sector. As we enter fiscal 2023, momentum remains strong across our North American ZERUST Industrial, as well as our global ZERUST Oil & Gas and Natur-Tec markets, which we expect will help NTIC continue to offset near-term uncertainty within our European and Asian markets. In addition, we expect annual profitability to improve in fiscal 2023 as we continue to focus on rebuilding our margins. So with this overview, let’s examine the drivers for the fourth quarter in more detail. For the fourth quarter ended August 31, 2022, our total consolidated net sales increased 30.5% to a new quarterly record of over $20 million as compared to the fourth quarter ended August 31, 2021. Broken down by business unit, this includes a 68.2% increase in Natur-Tec net sales and a 30% increase in ZERUST Industrial net sales, partially offset by a 16% decline in ZERUST Oil & Gas net sales. Total net sales for the fiscal 2022 fourth quarter by our joint ventures, which we do not consolidate in our financial statements decreased 22% to $25.9 million. This decrease was due primarily to slower demand across the territories serviced by our global joint ventures due to concerns over geopolitical conflicts and the change in the accounting treatment of ZERUST India, which is now a consolidated subsidiary within NTIC’s financial statements. Fiscal 2022 fourth quarter net sales by our wholly-owned NTIC China subsidiary decreased by 9.5% to $3.9 million due to the negative impact of ongoing severe COVID-19 related lockdowns across much of that country and the ensuing weaker economic conditions. For fiscal 2022, NTIC China sales declined 9.2% to $15.8 million. We are closely watching market conditions in China and we continue to believe China will likely become our largest geographic market in the future. Now moving on to ZERUST Oil & Gas, although we experienced a 16% year-over-year decline in the three months ended August 31, 2022, primarily due to overlapping the record sales we achieved in the fourth quarter last fiscal year, for fiscal 2022 annual ZERUST Oil & Gas sales reached a new record, increasing 21.5% on a year-over-year basis and we have achieved two consecutive quarters with sales over $1.5 million. Interest remains strong for our oil and gas solutions, which include applications to protect aboveground oil storage tanks and pipeline casings from corrosion, and we are confident that the first quarter will be another good quarter for oil and gas growth. In September 2022, we announced a new contract with BP Exploration (Caspian Sea) Limited. Under this initial agreement, NTIC will be supplying chemical corrosion protection services for 12 BP storage tanks over the next three years. This alone is expected to bring in over $2.5 million in revenue over the next three years. This new contract is the single largest we have ever received for our ZERUST Oil & Gas storage tank solutions to-date. We believe this is reflective of the increased acceptance of our technology among the major players in the oil and gas industry. Turning to our Natur-Tec bioplastics business. Fiscal 2022 fourth quarter Natur-Tec sales were $4.8 million, a 68.2% increase over the prior fiscal year period. Sales trends within Natur-Tec are encouraging and show that the demand patterns have returned to pre-pandemic levels, especially in North America and India. Furthermore, the supply chain and logistics challenges that impacted Natur-Tec’s results earlier this year continued to ease during the fourth quarter and contributed to the strong year-over-year and quarter-over-quarter growth we experienced. We believe this is a testament to our strong position within the bioplastics industry and our close relationships with important raw material suppliers. We continue to see growing market demand for new applications of certified compostable plastic products and resin compounds, as well as increasing interest in commercial and municipal programs that use certified compostable plastics as alternatives to conventional plastics. As a result, we believe we are well-positioned for long-term sustainable growth within our Natur-Tec bioplastics business. While prevailing geopolitical and economic uncertainty continues to impact our outlook on the overall economy, especially in Europe and China, we believe that we can continue to grow sales and improve profitability, as we benefit from favorable North American demand trends, higher sales into the oil and gas industry and higher Natur-Tec sales. With this overview, let me now turn the call over to Matt Wolsfeld to summarize our financial results for the fiscal 2022 fourth quarter and full year.
Matt Wolsfeld: Thanks, Patrick. Compared to the prior fiscal year period, NTIC’s consolidated net sales increased 31.3% in fiscal 2022 to an annual record and grew 30.5% in the fiscal 2022 fourth quarter, because of the positive trends Patrick reviewed in his prepared remarks and the incremental sales from ZERUST India, a 22% decrease in fourth quarter sales across our global joint ventures drove an 8% decrease in fourth quarter joint venture operating income compared to the prior fiscal year period. For fiscal 2022 sales across our global joint ventures, sales decreased 14%, contributing to a 21.9% decrease in joint venture operating income compared to the prior fiscal year. The fiscal 2022 fourth quarter and full year declines in joint venture operating income were partially offset by $682 in the recovery of previously written-off fees for services related to the termination of our joint venture in China in fiscal 2015. Total operating expenses for fiscal 2022 fourth quarter were $7.5 million. The 14.1% increase from prior fiscal year period was due primarily to incremental expenses because of the ZERUST India acquisition and increased selling expenses associated with higher consolidated sales, as well as higher wages, travel expenses and slightly higher R&D investments. Operating expenses as a percentage of net sales improved to 37.1%, compared to 42.5% for the prior fiscal year period. For the full fiscal 2022, operating expenses as a percentage of net sales improved to 38.3%, compared to 43.7% for the prior fiscal year. As illustrated in our fourth quarter results, the ZERUST India transaction increased our net sales and operating expenses since it is now consolidated with our financial results and decreased our equity income from joint ventures in each case as compared to the prior fiscal year period. Gross profit as a percentage of net sales was 30.3% during the three months ended August 31, 2022, compared to 36% during the prior fiscal year period, primarily as a result of the price increases on raw materials, increased labor and lower sales at our China subsidiary. Gross profit as a percentage of our net sales was 31.1% for fiscal year ended August 31, 2022, compared to 34.6% for the prior fiscal year. We have pursued action that addresses inflationary pressure and intend to continue doing so in the future. NTIC reported net income of $648,000 or $0.07 per diluted share for the fiscal 2022 fourth quarter, compared to $1.65 million or $0.17 per diluted share for the fiscal 2021 fourth quarter. For the full year, NTIC reported net income of $6.3 million or $0.66 per diluted share, compared to $6.28 million or $0.64 per diluted share for the fiscal 2021 full year. For fiscal 2022 fourth quarter, NTIC’s non-GAAP income, adjusted for expenses related to the NTIC India transaction and amortization expenses was $753,000 or $0.08 per diluted share, compared to $1.65 million or $0.17 per diluted share for the fiscal 2021 fourth quarter. For fiscal 2022, non-GAAP net income was $3.03 million or $0.32 per diluted share, compared to $6.28 million or $0.64 per diluted share for fiscal 2021. A reconciliation of GAAP to non-GAAP financial matters are available in our fourth quarter and full year earnings press release that was issued this morning. As of August 31, 2022, working capital was $23.2 million, including $5.3 million in cash and cash equivalents, compared to $25.2 million, including $7.7 million in cash and cash equivalents as of August 31, 2021. As of August 31, 2022, we had $5.9 million outstanding under our revolving line of credit. On August 31, 2022, the company had $21.8 million in investments in joint ventures, of which approximately 50.3% or nearly $11 million was in cash, with the remaining balance primarily invested in other working capital. During the fiscal 2022 fourth quarter, NTIC’s Board of Directors declared a quarterly cash dividend of $0.07 per common share that was payable on August 17, 2022 to stockholders of record on August 3, 2022. So to conclude our prepared remarks, we continue navigating a fluid business environment, while continuing to pursue our product end market and geographical diversification strategies. We are seeing strong North American demand trends and robust growth across our global oil and gas and bioplastics markets. While the economic environment remains uncertain, we believe fiscal 2023 will be another good year of sales and profitability for NTIC and we are excited by our prospects. With this overview, Patrick and I are happy to take your questions.
Operator: Thank you, sir. [Operator Instructions] And I show our first question comes from the line of Tim Clarkson from Van Clemens. Please go ahead.
Tim Clarkson: Hey. Good quarter. I just wanted to get into a little bit more granular discussion of exactly some of the things you can do to improve profitability, obviously, you have got some pretty good sales growth. Is it just raising prices or what else can you do?
Patrick Lynch: Well, we are looking at, obviously, lowering our costs as much as we can, and in certain cases, we are meeting with customers to negotiate price increases on a case-by-case basis.
Tim Clarkson: Okay. In terms of the oil and gas business applications, what’s changed? Is it just that the technology is now finally getting recognized or is it because you have got some process issues resolved in terms of it’s no longer considered exotic technology or is it just more money in the oil and gas industry? What do you think are the reasons you are starting to get some traction in that area?
Patrick Lynch: I think it’s basically a recognition of our presence in the market. I mean we have been doing this now for quite some time and it’s all basically coming together. We have seen some very significant interest now out of countries that have been more quiet up until now. We expect some significant business out of Norway in the next two months, as well as some other countries.
Tim Clarkson: In terms of your competitive position there, I know you have some competition in the traditional packaging areas, is this a technology that’s a little bit more unique and proprietary to oil and gas stuff?
Patrick Lynch: Yes. Yes. It is.
Tim Clarkson: I am guessing that there’s a fair amount of knowhow involved with making sure this technology works the way it’s supposed to, right?
Patrick Lynch: Absolutely. And -- I mean, and we do built in monitors into our solutions so that we can prove to the customer how well they are working in the field.
Tim Clarkson: Right. Now is there -- once you get an order, is there ongoing revenues beyond just the initial order?
Patrick Lynch: Absolutely. Are you talking about the oil…
Tim Clarkson: Oil and gas, yeah.
Patrick Lynch: Oil and storage tank solutions or...
Tim Clarkson: Yeah. Oil…
Patrick Lynch: Yeah.
Tim Clarkson: … and storage solution.
Patrick Lynch: Yes. Of course. I mean after we do the initial installation, you have to replenish the chemistry under the tanks after a certain period of time. So we are looking at repeat sales probably every five years to the same tank.
Tim Clarkson: I see. I see. On the compostable end, I see that revenues are really coming back significantly. You mentioned that you have come up with some new applications, are there things you can talk about in terms of new applications using the compostable technology?
Patrick Lynch: Not that I can talk about at this time.
Tim Clarkson: Okay. All right. I am done. Good quarter and well stay with it. Thank you.
Patrick Lynch: Thanks.
Operator: Thank you. [Operator Instructions] And I show our next question comes from the line of Gus Richard from Northland Capital Markets. Please go ahead.
Gus Richard: Yes. Thanks for taking the question. Just wondering sort of how the lockdowns in China have affected the business as you move into your first quarter?
Patrick Lynch: Well, as you have probably been watching in the news, every time there is a COVID case, they are locking down factories and entire cities. Most recently, probably, heard of, I guess, it was Foxconn that was shut down where they are manufacturing the Apple iPhones and the Guangzhou City around it. So we are seeing these rolling lockdowns, which are obviously impeding people from coming to the office, visiting customers, et cetera and so forth. So the current policy regarding COVID in China is significantly impacting that country’s economy and until they change their policies, which I am told, I think, they eased it slightly about two days or three days ago, but it will take -- it’s going to take some time before we see how that rolls out into our business.
Gus Richard: Okay. Got it. So effectively no changes as in the month of September and October?
Patrick Lynch: No.
Gus Richard: Okay. And then just -- could you just characterize how much of your business at this point is contracted versus spot, as you adjust prices, what do you see sort of as the net lag effect?
Patrick Lynch: Matt, do you want to take that one?
Matt Wolsfeld: It kind of depends on a country-by-country basis. What we are seeing is that in North America, the majority of the business is not a contract, not set up for a contract as far as long-term pricing goes. We are seeing it more -- a little more prevalent in Europe that they have put in place pricing for an annual period or a year period, but not as much in North America. And so the result of that is that we have seen our margins in North America rebound much quicker. It’s almost as if the margins in Europe were somehow three months, six months, nine months behind the deterioration in the margins in Europe were delayed, lagged a little bit to what we saw in North America. And so as we hopefully see some of the volatility with the raw materials in Europe come down and then as we see some of these annual contracts coming back up for renewal, we feel like we are going to see a rebound in the gross margin across Europe and other parts of Asia that we saw in North America in the third quarter and fourth quarter.
Gus Richard: Okay. Third and fourth quarter of fiscal 2023, correct?
Matt Wolsfeld: No. Our third quarter and fourth quarter -- we -- our North American business saw a rebound in its gross margin in third quarter and fourth quarter.
Gus Richard: Right.
Matt Wolsfeld: We expect to see a rebound in the gross margin from -- in Europe and parts of Asia throughout the -- really throughout the probably second quarter and third quarter of this year.
Gus Richard: Got it. And then just stick with Europe for a second. Clearly, they are going to winter, natural gas oil or type. How much is that impacting your customers or are they finding ways to work through the energy issues?
Patrick Lynch: That’s still on a wait and see basis really at this point. I know that everybody is cautiously watching both the energy supply and cost of energy. But how that’s going to play out still needs to be seen…
Gus Richard: Got it.
Patrick Lynch: … for the European market, of course.
Gus Richard: Right. Right. Okay. I think that’s it for me. Thanks so much.
Operator: Thank you. I am showing no further questions in the queue at this time. I’d like to turn the call back over to Mr. Lynch for any closing remarks.
Patrick Lynch: Sure. I’d like to thank everyone for participating today and your interest in NTIC. Have a great week. Thanks.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.